Operator: Good morning. My name is Christie, and I'll be your conference operator today. At this time, I would like to welcome everyone to The Madison Square Garden Company Fiscal 2013 Fourth Quarter and Year-End Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Ari Danes, Vice President of Investor Relations for The Madison Square Garden Company. Please go ahead, sir.
Ari Danes: Thanks, Christie. Good morning, and welcome to The Madison Square Garden Company's Fiscal 2013 Fourth Quarter Earnings Conference Call. Joining us this morning are the following members of the MSG management team: Hank Ratner, President and CEO; Robert Pollichino, EVP and Chief Financial Officer; Ryan O'Hara, President, Content Distribution and Sales; Melissa Ormond, President, MSG Entertainment; and Dave Howard, President, MSG Sports. Following the discussion of the company's financial results, we will open the call for questions. If you do not have a copy of today's earnings release, it is available in the Investors section of our website at themadisonsquaregardencompany.com. Please take note of the following. Today's discussion may contain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties, and that actual results or developments may differ materially from those in the forward-looking statements as a result of various factors, including financial community perceptions of the company and its business, operations, financial condition and the industry in which it operates and the factors described in the company's filings with the Securities and Exchange Commission, including the sections entitled Risk Factors and Management's Discussion and Analysis of Financial Condition and Results of Operations contained therein. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call. Let me point out that on Page 5 of today's earnings release, we provide consolidated operations data and a reconciliation of adjusted operating cash flow, or AOCF, to operating income. I would now like to introduce Hank Ratner, President and CEO of The Madison Square Garden Company.
Hank J. Ratner: Thank you, Ari. We concluded fiscal 2013 with a solid fourth quarter, capping off another record year of revenues and adjusted operating cash flow for our company, powered by the strength of our fully integrated Media, Entertainment and Sports business. On a full year basis, our company generated over $1.3 billion in revenue, up 4% versus the prior year, and approximately $356 million in total AOCF, a 26% increase versus fiscal 2012. Looking back at our first 3.5 years as a public company, we have significantly increased our company's overall profitability, as we have benefited from the increasing value of live content, the impact of the Transformation and from our strategically aligned assets that work together to deliver enhanced returns. These assets include legendary venues in major markets, compelling live sports and music content and local and national programming network distributions. We have delivered these results while executing against our plans for the Transformation, as well as carefully guiding our company through several significant events along the way, including the NBA and NHL work stoppages. In this regard, fiscal 2013 represented a significant inflection point for our company. With the NHL and its players association reaching a new collective bargaining agreement this past January, long-term labor agreements are in place for both NHL and the NBA. Coupled with our strong affiliation fee revenue base, we now have the clearest path in front of us than in any other point since our spin-off from Cablevision in early 2010. Another important milestone is just around the corner, as we near the completion of the historic Madison Square Garden Transformation this fall, followed by the reopening of the revitalized Forum early next calendar year. After the successful completion of these capital investments, our company's ongoing capital needs are expected to be much lower, enhancing our free cash flow profile. Along with our strong balance sheet, which included about $278 million in cash on hand and no debt outstanding as of June 30th, we believe we are effectively positioning our company for its next chapter: maximum flexibility to pursue opportunities that will drive sustainable growth. In summary, we are pleased with our overall execution this past fiscal year and believe that we have the opportunity over the long-term to meaningfully grow our company from fiscal 2013's record level. This fall, we will celebrate one of the most important moments in the history of Madison Square Garden as we debut the completely transformed arena. This unprecedented project, which was designed to benefit everyone, including fans, partners, suite holders, athletes and entertainers, will ensure that we continue to provide the kind of historic, unforgettable experiences that have long been a key component of our business. Reviews of the first 2 phases have been overwhelmingly positive as our customers enjoy more comfortable seating with significantly improved sightlines, expanded concourses and food selections from our MSG Signature Collection. We have also expanded our lineup of exclusive clubs and suites and paid homage to The Garden's rich history with several new exhibits. With our upcoming debut of the third and final phase, our customers will get to experience a transformed 7th Avenue entrance to the arena, which will be named Chase Square, as well as 2 spectacular Chase bridges, which will be suspended parallel with the ice and court with seating for a "one of a kind" viewing experience. We are also set to unveil the last 10 moments for our top 20 "Defining Moments" on the eighth floor Garden Concourse. Through photos and memorabilia, these special exhibits pay tribute to the legendary moments that have come to define The Garden over the years. In addition, we will debut the new 1876 balcony on the bridge level, the new signature suite level with 18 transformed Garden suites, a new "state of the art" high-definition Garden vision, our center home multimedia display, as well as restoration of The Garden's world-famous ceiling. Madison Square Garden has been the home to some of the greatest and most iconic moments in sports entertainment and politics, and the completion of this historic project will ensure our position as the world's most famous arena. With regard to costs, we have incurred total Transformation-related construction costs of approximately $916 million through June 30. We remain on schedule and as we near the end of this unprecedented project, we've been able to further refine our expectations of our project and expect total Transformation-related construction costs not to exceed $1,050,000,000, inclusive of various reserves for contingencies. Turning to our business segments, I'd like to note that 2 months ago, Ryan O'Hara joined our company as President of Content, Distribution and Sales and is responsible for MSG Media as well as the company's overall technology area and marketing partnership division. Ryan is a seasoned executive with a long and distinguished career in media, sports and consumer products. We are confident that his leadership and management expertise will be extremely valuable to us as we continue to seek ways to maximize our assets, pursue strategic growth opportunities and further integrate our businesses. Turning to our MSG Media business, the segment enjoyed another successful year with solid revenue and AOCF growth. Looking ahead, we expect to see continued affiliation fee revenue growth in fiscal 2014, which reflects the increasing value of our live content, particularly live local sports content to our affiliates. And with MSG Networks serving as the local broadcast homes of the New York Knicks and Rangers, as well as 3 other hockey teams, we are pleased that for the first time in 3 years, we will be able to once again bring local sports fans full NBA and NHL regular seasons. This past fiscal year, we began a significant rollout of original shows on Fuse, including the network's largest initiative to date, Fuse News. We've also debuted new programming in the early part of fiscal 2014 as we continue to execute our programming strategy for the network to drive growth. With respect to MSG Entertainment segment, we are confident that we have the right strategy and mix of assets in place to return the segment to AOCF profitability. As you know, Superstorm Sandy had a significant impact on Radio City Christmas Spectacular this past year as we sold nearly 1 million tickets of the production in New York versus approximately 1.1 million tickets to the prior year. We are looking forward to the 2013 Christmas Spectacular production and expect to see normalized results for the show this upcoming holiday season. Our venues are as popular as ever and remain must-play destinations for a wide variety of artists and events. The newest of our 7 venues, the Forum in Inglewood, California, will open in January 2014 to give a perfect complement to the Madison Square Garden arena, as it gives us world-class venues in both New York and Los Angeles, linking the top 2 entertainment markets in the country. The Forum is a prime example of one facet of our entertainment growth strategy in which we explore opportunities to selectively expand our portfolio venues in key markets and then utilize our restoration expertise, operating excellence and industry relationships to ensure they become must-see, must-play venues. Developing proprietary productions that can play both inside and outside our venues is another facet of our Entertainment growth strategy. We're now preparing for the spring debut of our new large-scale theatrical production for Radio City Music Hall. Designed to showcase one of the most iconic brands, the Rockettes, we believe this new show has the potential over time to become a valuable franchise for the company. We also continue to explore other investment opportunities that make both strategic and financial sense for the company. In a new partnership with the owners of Brooklyn Bowl, we recently committed to investing approximately $25 million to its building a new venue in Las Vegas. Brooklyn Bowl is a popular destination in the Williamsburg, Brooklyn that brings together live music, bowling and a high-energy bar and restaurant with food by the acclaimed Blue Ribbon Restaurant Group. We are now jointly the owners of Brooklyn Bowl to bring the successful, multifaceted model to Las Vegas. We view this modest investment as a prudent way of gaining familiarity with one of the top 10 live entertainment markets in North America. In addition, this investment will provide us with an introduction to the operation of a smaller, general admission music venue, increase our exposure to up-and-coming talent and potentially great incremental sponsorship opportunities. We will also note that we do not expect to consolidate Brooklyn Bowl Las Vegas in our financial statements. We are excited about this partnership and are continuing to explore additional opportunities to expand our presence in the entertainment industry. With regard to our MSG Sports segment, we navigated our business through a second consecutive professional Sports work stoppage this past year and successfully executed against our sales goals related to the second phase of the Transformation. We are focused on maintaining our sales momentum in fiscal 2014 and driving revenue growth across categories, including tickets, suites and marketing partnerships. We also remain committed to fielding competitive sports franchises capable of competing for championships in order to support many of our company's key revenue streams. The New York Knicks 2012-'13 season was the team's most successful regular season in 16 years as the team won the Atlantic Division title for the first time since 1994 and advanced to the second round of the playoffs. This off-season, the Knicks have completed a number of important player transactions, acquiring Andrea Bargnani, Metta World Peace, Beno Udrih, as well as re-signing J.R. Smith, Pablo Prigioni and Kenyon Martin. Of course, the Knicks are led by Carmelo Anthony, who led the NBA in scoring and in his third in MVP voting this past season. Meanwhile the Rangers, led by goaltender Henrik Lundqvist, Captain Ryan Callahan and leading goal scorer, Rick Nash, qualified for the playoffs this past season for the seventh time in the last 8 years, also advancing to the second round. In June, we named Alain Vigneault the new head coach of the Rangers and believe he will play a significant role in the future success of the team. We also recently re-signed Ryan McDonagh and Carl Hagelin. We believe that we made some key decisions this past summer that have positioned the Knicks and Rangers for ongoing success and look forward to an exciting 2013-'14 season for both teams. I'll now turn the call over to Bob Pollichino to take you through our financial results.
Robert M. Pollichino: Thank you, Hank. We are pleased with our fiscal 2013 results, which, as Hank stated, reflected another year of record revenues and AOCF for our company. Total company revenues were approximately $1.3 billion, up 4% versus the prior year. Consolidated AOCF of $355.6 million increased 26%, and operating income of $251.1 million grew 41%, both as compared to the prior year. With respect to fiscal 2013 fourth quarter results as compared to the prior year fourth quarter, total company revenues were $336.4 million, up 1%. Consolidated AOCF of $92.2 million and operating income of 61 -- $66.1 million increased 19% and 32%, respectively. MSG Media generated $176.8 million in revenue, an increase of $9.8 million or 6%. Affiliation fee revenue increased $7.1 million, primarily due to higher affiliation rates. Advertising revenue increased $5.8 million, primarily due to higher advertising revenue at both MSG Networks and Fuse. Other revenues decreased $3.1 million, primarily due to the expiration of a short-term programming licensing agreement this past April. MSG Media AOCF of $81.8 million was up 24%, primarily due to higher revenues and lower direct operating expenses. The decrease in direct operating expenses was primarily due to lower programming expenses at Fuse, partially offset by higher programming expenses at MSG Networks and other net increases. With respect to MSG Media results in fiscal 2014, there are 3 components that we'd like to note: First, fiscal 2013 included incremental other revenue and AOCF related to a short-term programming licensing agreement. As expected, this deal expired in April and was not renewed and will impact year-over-year comparisons in our Media segment in fiscal 2014. Second, while the NHL work stoppage had a negative impact in fiscal 2013 on total company revenues and AOCF, as well as Media segment revenues, it contributed to Media segment AOCF. This nonrecurring event will create difficult year-over-year AOCF comparison for our Media segment in fiscal 2014, primarily in our fiscal second and third quarters. And third, we currently anticipate higher Fuse programming expenses in fiscal 2014. This reflects the annualized impact of our Fuse News initiative, which was implemented during fiscal 2013, as well as the continued execution of our programming strategy, which includes original and acquired content, news and live events to drive growth of the network. Turning to Entertainment, our MSG Entertainment segment generated $34.8 million in revenues in the fourth quarter, down 31%. As discussed on our last earnings call, the decrease was primarily due to lower event-related revenues at the company's venues, mainly the result of fewer events in our theaters, inclusive of fewer promoted events, partially offset by higher suite rental fee revenue and venue-related sponsorship and signage revenues. The decrease in event-related revenues was due in part to the absence of Cirque du Soleil's Zarkana at Radio City Music Hall. MSG Entertainment's AOCF loss of $14.6 million increased $9.3 million, primarily due to the decrease in revenues, partially offset by lower direct operating expenses. The decrease in direct operating expenses was primarily due to fewer events at the company's venues, partially offset by higher venue operating costs, primarily for Radio City Music Hall, The Forum, The Garden and The Theater at Madison Square Garden, as well as other net expense improvements. With respect to MSG Entertainment in fiscal 2014, we expect the segment to benefit from improved results for the Radio City Christmas Spectacular franchise. In addition, we expect our bookings business to be positively impacted by The Forum, which will reopen in our fiscal third quarter and by the increased booking availability in our fiscal fourth quarter of The Garden and The Theater at Madison Square Garden as the Transformation project will be complete. That being said, please note that our Entertainment segment will continue to face difficult year-over-year comparisons in the first quarter of fiscal 2014, primarily due to the absence of Cirque du Soleil's Zarkana at Radio City Music Hall. Our MSG Sports segment generated $140.7 million in revenues in the fourth quarter, a 7% increase. Segment revenues were positively impacted by the New York Rangers' compressed regular season schedule during the quarter as a result of the NHL work stoppage. In addition, the comparability of segment revenues to the prior year period was negatively impacted by the New York Knicks' compressed regular season schedule in the prior year quarter as a result of the NBA work stoppage. On an overall basis, the increase in segment revenues was primarily due to higher suite rental fee revenue, sponsorship and signage revenues and food, beverage and merchandise sales, partially offset by lower league distribution. In addition, event-related revenues from other live sporting events increased, while professional sports team playoff-related revenues decreased slightly. This slight decrease in playoff-related revenues was the result of the net impact of 6 fewer Ranger home playoff games, mostly offset by 4 additional mix home playoff games. Fourth quarter AOCF increased by 43% to $28.4 million, primarily due to higher revenues, slightly offset by higher direct operating expenses. As you think about MSG Sports results for fiscal 2014, we expect to benefit from the return of the Rangers to a full regular season schedule and from the continued financial benefit of the Transformation. At the same time, we anticipate a substantial increase in NBA luxury tax expense due to higher projected team compensation costs and the implementation of the NBA's progressive luxury tax system, as well as the substantial increases in NBA and NHL revenue sharing expense. As always, the performance of our teams in the playoffs is a driver of Sports segment results. As a frame of reference, the Knicks and Rangers played a combined 11 home playoff games in the fourth quarter of fiscal 2013, which generated approximately $47 million in playoff-related revenues and $16.4 million in direct contribution for our Sports segment, as well as additional advertising revenue and AOCF at our Media segment as we broadcast 15 first-round Knicks, Rangers and Islanders playoff games. Turning to the Transformation project, construction costs incurred for the Transformation during our fourth quarter were approximately $41 million, while project-to-date costs incurred through June 30 were approximately $916 million, which represents a significant portion of total estimated Transformation project construction costs. As of June 30, total net cash and cash equivalents was approximately $278 million, while our $375 million revolver remains undrawn, with our borrowing availability unchanged at approximately $368 million, as there remains approximately $7 million in letters of credit outstanding. We continue to believe that have sufficient liquidity to fund the completion of the Transformation project and our other initiatives from our substantial level of cash on hand, cash flow from operations and if necessary, our revolving credit facility. I will now turn the call over to Ryan O'Hara to provide highlights from our MSG Media segment.
Ryan O'Hara: Thanks, Bob. During fiscal 2013, we continue to provide viewers with outstanding production, compelling programs and the best game telecast in sports, demonstrating once again why MSG and MSG Plus are best-in-class regional Sports networks. Our continued commitment to excellence and programming resulted in MSG Media winning 18 local Emmy Awards earlier this year for a total of 97 Emmys over the past 6 years, including 85 for MSG Network, the most of any single network or station in the region during that time. We broadcast a wide array of live sporting events annually, including the Ranger -- including the regular-season games of 7 professional sports franchises, the Knicks, Rangers and Liberty, as well as the New York Islanders, New Jersey Devils, Buffalo Sabres and New York Red Bulls. For the Knicks, the team's exciting 2012-'13 regular season again translated into strong viewership. With the exception of last year's shorted season, the 2012-'13 season was the highest-rated Knicks regular season in the 25 years that the network has been tracking household ratings. Sports fans also welcomed back hockey this year with strong increases in viewership. For the 2012-'13 season, this included an over 65% increase in Rangers average total household ratings versus the prior season, while the Islanders ratings were up over 100% and the Devils ratings were up over 40%. In fact, for the 1 year period ending in May with our last playoff telecast in the key demos during prime time, MSG network was the most-watched regional Sports network in the entire New York market. Strong consumer interest in the Knicks and Rangers also fueled solid increases in average per-game advertising revenue on MSG Networks this past season, and our strong ratings base, the result of multi-year increases in ratings for the Knicks and the Rangers, positions us well going forward. As discussed on recent earnings calls, during fiscal 2013, we continue to produce original programming that extends MSG's brands that creates promotional and revenue opportunities for our company and build on our content library. Examples include Lost and Found, the 73 Knicks championship games, "The Lineup: Best Sports Movies", Knicks Extra, Beginnings, The Mike Woodson Show, Hockey Night Live and The Garden Transformed: Year Two. Turning to Fuse during fiscal 2013, we continue to advance on our strategy of utilizing news, original and acquired programming and live events to further build viewership of the linear Fuse network. Programming highlights from this past year include: Fuse News, our daily half-hour flagship show dedicated to delivering informed credible music news, including breaking stories, as well as more in-depth coverage to the world of music. Billy On The Street, our music and pop culture quiz show featuring comedian Billy Eichner, and Warped Roadies, a series that follow the road crew in charge with running the band's work tour as they traveled across the country with more than 60 bands to more than 40 cities. Both of these shows have been renewed and will return with new episodes later this year. June also marked the debut of our first scripted series, The Hustle, which takes an authentic look at the challenges of aspiring artists face as they try to break into to hip hop world. We're continuing to build on this momentum with the role of an additional programming in the early part of fiscal '14. In July, we debuted 2 brand new shows. First, Insane Clown Posse Theater, which features hip hop duo, Insane Clown Posse, providing uninhibited commentary on a mix of music videos and viral clips. The show, which started as a digital-only series on our Fuse YouTube channel, is an excellent example of how we're able to use our digital platforms to test content before adding it to our linear programming line up. Our other new summer show, G-Thing, gives viewers a look into the lives of G Fella, an Italian-American rapper and his larger-than-life family as they try to launch the first family-style-run record label. In the months ahead, we're planning to launch another unscripted series, currently titled Big Freedia: Queen of Bounce, which explores the underground world of the New Orleans hip hop scene known as Bounce, but focus on the local hero, an outrageous personality, Big Freedia. Our rollout of these new shows complements and strengthens our current program rosters and is supplemented by our significant online presence, which includes fuse.tv and our YouTube channel, and our continued coverage of some of today's biggest music festivals and live events. In terms of distribution, Fuse subscribers meaningfully increased in this past fiscal year, primarily a result of a new, long-term affiliation agreement with the DISH Network. We now have deals in place for Fuse with every major distributor in the country. We are pleased that such a significant number of households have access to our unique and exclusive music-focused content as the network has approximately 73 million Nielsen subscribers and approximately 64 million subscribers. Turning to marketing partnerships. The third phase of the Transformation brings along several new high-profile sponsored elements. As part of our marquee partnership with JPMorgan Chase, The Garden's new lobby will be named Chase Square, while the 2 bridges currently being built inside the arena bowl will be named The Chase Bridges. Anheuser-Busch has the naming rights for the 1876 balcony on the 10th floor bridge level, while Kia and Lexus will have prominent automobile displays located in Chase Square and the new terrace level above the lobby. These partnerships are excellent examples of the valuable and unmatched integration opportunities we offer for world-class brands across our portfolio of Media Sports and Entertainment assets, and we continue to pursue additional partnerships with brands that share our commitment to excellence. I will now turn the call over to Melissa Ormond to provide highlights from our MSG Entertainment segment.
Melissa Miller Ormond: Thank you, Ryan. Over the years, our building has set the standard by which others are measured. And today, it includes some of the most celebrated venues in the world. In addition to serving as must-play destinations for a wide variety of acts that come to our markets, our best-in-class venues continue to earn critical acclaims. In 2013, Madison Square Garden was named Arena Of The Year by industry readers of Pollstar Magazine for the 11th consecutive year, an award The Garden has won 18 of the past 20 years. For 2012, Pollstar ranked Radio City Music Hall the #1 garden theater-sized venue worldwide, while 5 of our venues were listed in Billboard's Top 10 year-end rankings. The popularity and prestige of our venues plays a significant role in our ability to attract the biggest acts and shows. For example, last month, NBC's top-rated series, America's Got Talent, began broadcasting live from the Great Stage at Radio City with 2 shows each week and continuing into September. As the world's most famous arena, this past fiscal year, we hosted the historic "12-12-12" concert, benefiting victims of Superstorm Sandy, as well as many of the hottest acts on tour, including Madonna, Justin Bieber, One Direction, Swedish House Mafia, Pink, Maroon 5, Alicia Keys and The Killers, which on May 14 marked our last concert before we shut down for the third and final phase of the Transformation. Over its long history, The Garden has come to epitomize the very best in live entertainment, with an appearance at The Garden often representing the pinnacle of a performer's career. Our biggest challenge when booking events at The Garden continues to be not having enough date availability to accommodate every artist and event that wants to play at the arena. In fact, despite the Transformation-related shut down, The Garden has continued its reign of the top-grossing arena in the country. And as calendar 2014 marks the first time in 4 years that the arena will be operational for the full 12 months calendar, we look forward to The Garden again being the busiest arena in the country all year round. With respect to fiscal 2014, we've already confirmed an impressive lineup of artists, which we plan to announce after Labor Day. Ed Sheeran, The Eagles, Rod Stewart and Paramore are just a few of the headliners set to play the Garden this fall before the always anticipated return of the Westminster Kennel Club Dog Show in February 2014. The Theater at Madison Square Garden had great success this past year as a key destination for some of today's most popular family shows including Yo Gabba Gabba!, Sesame Street Live and Disney Live as well as family favorite, Dr. Seuss's How the Grinch Stole Christmas. We look forward to building on this momentum in the year ahead and had already booked the Tony-award nominated A Christmas Story to meet the call for a multi-week engagement this holiday season. The Beacon remains in high demand this past year, hosting performers such as Crosby, Stills and Nash, Tom Petty & the Heartbreakers, The Allman Brothers Band, Diana Krall, Nick Cave & the Bad Seeds and Jerry Seinfeld. In 2014, we will continue to focus on maximizing bookings for this venue, as well as for the Chicago and Wang Theatres. Last month, we announced the Forum in Inglewood will reopen on January 15, 2014, following an extensive revitalization of the facility that began earlier this calendar year. Through the revitalization, we will create a world-class venue by bridging the Forum's historic past with today's modern amenities. The new Forum, which will have a focus on entertainment and music, will offer something for everyone: artists, promoters, music fans, VIP customers and marketing partners. The venue's completely modernized bowl will feature flexible seating with capacity configurations ranging from 8,000 to 17,500, allowing us to host a wide variety of events. Fans will enjoy one of the largest capacity arena general admission floors, in addition to approximately 8,000 square feet of new event-level hospitality offerings. We will also provide exclusive spaces for our VIP customers, including the historic Forum Club, which will be restored to its former glory, along with new outdoor enhancements like our revitalization of the 40,000 square-foot terrace and creation of new hospitality space. Artists have always loved playing the Forum in Los Angeles, thanks to its superior acoustics and intimate feel, which is unique for a venue this size. This appreciation for the venue, combined with our live-entertainment expertise and industry relationships will ensure we attract the biggest names in music and entertainment to the venue. As with The Garden, we already confirmed many exciting artists for the Forum, which we look forward to announcing in the coming weeks, building on our recent announcement that The Eagles will reopen the Forum with a free night run in mid-January. We've also committed to securing meaningful marketing partnerships with organizations that share our commitment to the Forum in Inglewood. Today, we've announced that our marquee partner, JPMorgan Chase, has signed on as Presenting Partner, which includes being a part of the venue's official name, the Forum presented by Chase. In addition, Chase will have a powerful presence, both inside and outside the venue, as well as exclusive amenities and branding opportunities, including the Chase Lounge, a dedicated lounge that can only be accessed through select affiliations with Chase. We're excited about the upcoming reopening of the Forum, which we expect will be a meaningful contributor to our entertainment business. Turning to productions, this past year marks the 80th year of the Radio City Christmas Spectacular and 85th anniversary of The Rockettes in New York City, a testament to the enduring popularity of these iconic brands. As you know, last year's Superstorm Sandy hit the tri-state area about a week before the show opened, impacting the New York production throughout its holiday run. We are now looking forward to the 2013 production and last week kicked off our marketing campaign with our annual Christmas in August event. The 2013 production of the Christmas Spectacular will be our most imaginative show to date, enhanced with breathtaking new finale with special effects that will transform the great stage of Radio City into a winter wonderland, while also continuing to feature the show's classic scenes. With respect to the Christmas Spectacular theatrical productions outside of New York, our production in Nashville has been a long-running success and we will present the show for the 12th year at the Grand Ole Opry House during the 2013 holiday season. We also plan to present the show in 3 additional markets this holiday season: Atlanta, Tampa and West Palm Beach and look forward to a successful holiday season run. Finally, we are preparing for the debut of our new large-scale theatrical production at Radio City Music Hall this coming spring. The production, set in New York City, is a journey of discovery and rediscovery of the city we all love. It will feature groundbreaking technology and is designed to showcase the legendary Rockettes in brand-new, modernized dance styles. We expect the show will appeal to a broad audience of both local residents and visitors from outside the tri-state area and will serve as an anchor tenant at Radio City for years to come. Additional details about the production will be announced in the near future. I will now turn the call over to Dave Howard to provide highlights from our MSG Sports segment.
Dave Howard: Thank you, Melissa. MSG Sports delivered a solid fiscal 2013, as we guided the segment, the impact of the NHL work stoppage, while executing against our Transformation-related sales goals. And as we look ahead, we believe our ownership of key assets and brands positions us well for long-term growth. These assets, of course, include the legendary Knicks and Rangers franchises, along with Madison Square Garden, which is now both the most storied and historic arena in the world, as well as a fully state-of-the-art sports entertainment venue, a powerful combination that will continue to resonate with our customers and marketing partners. Our strong operating position is best exemplified by the momentum we have exhibited across ticket sales, suites and marketing partnerships. As we have discussed on recent earnings calls, the Knicks and Rangers again played to at or near capacity crowds each game at The Garden this past season, with Knicks season tickets sold out for the third consecutive year and Rangers for the sixth consecutive year. The 2013-'14 ticket sales outlook is equally as bright. As you know, we announced earlier this year that season ticket prices will increase an average of 6.4% for the Knicks and 4% for the Rangers. Renewal rates with season ticket holders have been strong this far, with an over 97% renewal rate for Knicks season tickets and over 92% for the Rangers, and we expect to achieve a full sellout of season tickets soon. We will also see a boost this fiscal year from an increase in The Garden seating capacity for Knicks and Rangers games by approximately 800 seats, largely due to the addition of the Chase bridges and the 1876 Balcony, bringing the seat count back to pre-transformation level. This past year, we continued the roll out of our premium hospitality products with the debut of the Lexus Madison Level Suite and the Madison Club presented by Foxwoods. These new offerings, along with the 1879 Club presented by JPMorgan, the Delta SKY360 Club and our Event Level Suites have been met with rave reviews from our customers and marketing partners. Fiscal 2014 will see the benefit of the Madison Level Suites and the Madison Club being online for the entire year. As you may recall, these suites only started to come online in November of last year, 5 months into fiscal 2013, and were not all available until mid-December. In addition, this fall we will unveil the new Signature Suite Level, which will feature 18 Transform suites with access to the very best in sports and entertainment, including every Knicks and Rangers game, exciting concerts by today's hottest acts, as well as marquee college basketball and many other premier sporting events. The new suites will deliver a center-stage view for concerts, along with state-of-the-art amenities, including food offerings from some of New York's best chefs. The Signature Suite Level will also feature a new lobby with a special collection of memorabilia that pays homage to the legendary athletes and entertainers who have left their signature on The Garden's rich history. The upcoming debut of our new Signature Suite Level represents one of the last available opportunities for customers looking for an unmatched premium hospitality experience for entertaining or doing business at the transformed Garden. Meanwhile, MSG Sports continues to host a variety of memorable sporting events. This past fiscal year, notable college basketball events included the Big East Tournament, the Jimmy V Classic, the Gotham Classic, as well as a full slate of St. John's games. With respect to tennis, the BNP Paribas Showdown returned to The Garden for its sixth consecutive year, showcasing several of tennis' top stars, including Rafael Nadal, Juan Martin del Porto Serena Williams and Victoria Arzarenka. And in terms of boxing, notable bouts included Miguel Cotto taking on Austin Trout in a boxing match that marked Cotto's eighth fight at The Garden, and Guillermo Rigondeaux defeating Nonito Donaire for the unification of the WBO and WBA super bantamweight titles at Radio City. Fiscal 2014 highlights include the East regional finals of the NCAA Division I Men's Basketball Championship, which will return to New York City and Madison Square Garden for the first time in more than 50 years, as well as the return of the Big East Tournament for its 32nd consecutive year. I will now turn the call back over to Ari.
Ari Danes: Thanks, Dave. Christie, can we open up the call for questions?
Operator: [Operator Instructions] And your first question comes from Rich Tullo of Albert Freid.
Richard Tullo - Albert Fried & Company, LLC, Research Division: Billboard ranked Barclays as the #2 rated globally. It looks like there's a discrepancy between Pollstar, we're more inclined to view the Pollstar numbers as being accurate. But nevertheless, the bigger picture here in our view is that the pie in New York is growing. And can you provide some color on the competitive dynamic that will be emerging between Madison Square Garden and Barclays in New York?
Melissa Miller Ormond: Well, it's interesting that you referenced the Billboard rankings because when those rankings were published, we looked a little bit deeper into them. And as you know The Garden has been the top-grossing arena in the U.S., if not worldwide, for years and years. In fact, we were the top-grossing arena of the decade in 2010 according to Billboard. And we have gained that status by reporting concerts and family shows in these years and when we look at the rankings this year, we discovered that Barclays had announced -- had also included non-league and non-home team sporting events. So it's important to note that, number one, we had more concerts than Barclays in that 6-month period despite being closed for at least 2 weeks of that reporting period; and secondly, when you make the comparison between MSG and all the other arenas in the listing, apples-to-apples and included our non-league non-home team sporting events, we far outgrossed all our U.S. venues. So we're not seeing a significant impact from Barclays, and we look forward to the reopening of the transformed arena in October and full year operations resuming with calendar 2014.
Operator: Your next question comes from Bryan Goldberg of Bank of America Merrill Lynch.
Bryan Goldberg - BofA Merrill Lynch, Research Division: Just a question on growth opportunities. You guys have done a great job identifying high ROI opportunities from the Transformation of The Garden to the L.A. Forum. From what we've observed, most of your recent moves to drive new growth from external sources look like they've been focused on the entertainment space. So with Nassau behind us now, how should we think about the buckets of external opportunity for the company going forward? Are they going to continue to be weighted towards Entertainment or do you see an equal amount of opportunity in Media and Sports? And if there is, if you can help us think about a reasonable amount of cash you need to have on hand to make sure you have maximum flexibility? That would be great as well.
Hank J. Ratner: I think the opportunities that we seek are opportunities that are strategically related to what we do. There are things that we think that we can help make better. There are things that are connected to our core competencies, or things that actually can help us be better. So opportunities we can help or opportunities that can help us. Those opportunities could be in Media. They could be in venues. They could be Entertainment. They could be in Sports. So they can be in any of those places. We have to be nimble and we had to go look for them. People come to us. We have to find opportunities as well. And thus far, what you identified have been the opportunities that we have thought were worth pursuing. We'll continue to look but there is no real strong preference for one of the areas versus the other. It's really opportunity based and we're going to analyze what becomes available and get ourselves comfortable that the appropriate growth can be created on an integrated basis, and that's really the way we view it.
Operator: Your next question comes from John Tinker of Maxim.
John Tinker - Maxim Group LLC, Research Division: I think you mentioned that the Forum might be a meaningful contributor going forward. Can you just give us a little more of an -- the detail in terms of sort of what it may have cost and how should we think about the revenues in terms of trying to quantify this?
Melissa Miller Ormond: Well, as to the cost, we stated it's approximately $100 million inclusive of the acquisition of the property, acquisition cost purchase price, acquisition costs, your revitalization of the venue net of a loan from the city of Inglewood that we expect to be forgiven, as well as certain tax credits. And we believe this $100 million is commensurate with the opportunity presented to us by the Forum and presented to us in the Los Angeles market. We feel strongly that the music industry is welcoming the return of the Forum as are fans and ticket buyers in Los Angeles. Our focus is, as we stated, entertainment primarily concerts, family shows, award shows, special events. We will host some sporting events like boxing and tennis, and think it will become a meaningful contributor to Entertainment.
Operator: Your next question comes from Amy Yong of Macquarie Capital.
Amy Yong - Macquarie Research: Can you actually clarify how you're accounting for the Brooklyn Bowl investment, and then just sort of normalize -- or how do you think about CapEx next year, inclusive of the Transformation and the Forum?
Robert M. Pollichino: The first part of your question about Brooklyn Bowl is, we're going to be reporting it as an investment, and we continue to do that analysis and it looks like on the equity basis. Amy, what was your second question again?
Amy Yong - Macquarie Research: How do we think about CapEx? I think you mentioned that the Transformation is not going to exceed $1.05 billion or $1.50 billion. I mean, how do we think about, between the Transformation and the Forum, what CapEx will look like for next year?
Robert M. Pollichino: Well, you have remember for fiscal '14, we had the balance of the Transformation, so you have to take that into consideration. You have to take into consideration the majority of what you've heard Melissa say about the cost associated with the Forum. And then as you look past that, you have to think about normalized maintenance CapEx, and we're not really providing that information on the call. But I think if you go back historically and look at some of our pre-Transformation financials, you'll get a sense of what that could be. And it's probably tens of millions versus hundreds of millions. So that's sort of the scale of what we're talking about.
Operator: Your next question comes from Michael Morris of Davenport & Company.
Michael C. Morris - Davenport & Company, LLC, Research Division: Hopefully, a couple of quick ones. Trying to reconcile Hank's comments about your free cash profile, the next chapter, new opportunities and specifically, I'm thinking about the level of cash flow generation you have relative to your incremental investments, which have been much smaller following the Transformation. So specifically, number one, do you have a specific investment in mind as you look at your capacity? Number two, is there any opportunity or could you invest in Major League Baseball? And then number three, what is your outlook for return of capital? Do you have any intention to buy back shares this year?
Hank J. Ratner: In the investments, there's nothing we've discussed specifically. Again, we look for opportunities to grow the company. We think one of the beautiful things about the company is its integration and the way we can get multiple businesses feeding each other and get enhanced returns as a result. So again, we're going to continue to look at growth opportunities where we can take advantage of the assets and infrastructure that we have, knowing our core competencies and the world-class infrastructure in order to help grow the company. As far as Major League Baseball, there are no impediments for us getting involved in Major League Baseball. But other than that, it's somewhat of a hypothetical that I'm not sure how to respond to and would prefer not. And then lastly, we talk about our looking for growth. We continue to evaluate the possibility of return of the capital program but when you do -- keep in mind that our priority is growing the company going forward.
Michael C. Morris - Davenport & Company, LLC, Research Division: Can you just help -- I guess if there's anything pointed you can say? I mean, you're investing, let's call it, roughly $300 million to $350 million in the Transformation. That's behind us now. The Forum investment is much more modest, but your cash flow generation is much higher. Are you expecting an opportunity of the magnitude of the Transformation? Do you see something like that out there somewhere?
Hank J. Ratner: Well, I don't look at the Transformation as sort of the benchmark to judge anything else against. The Transformation was a unique opportunity to take the most iconic venue in the world and build a brand-new one inside the iconic exterior of the other. I mean, we went forward with that very ambitious product, and we're very pleased to date from its financial results, to aesthetic results. And really every which way, we think we hit it out of the park. Going forward, we're going to look at opportunity, each one in and of itself, and assess its possible returns and its growth, and our main focus always will be what's in the long-term interest of creating shareholder value.
Operator: Your next question comes from Ben Mogil of Stifel Nicolas.
Benjamin E. Mogil - Stifel, Nicolaus & Co., Inc., Research Division: So a little bit of a follow-up, I guess, on Michael and Brian's question. From a RSN perspective, are there any real synergies of owning an RSN outside of the New York market or are they pretty limited?
Hank J. Ratner: Well, there are always synergies in owning multiple cable networks. There's a lot of back-office infrastructure from your transmission and your production. There's also your affiliate sales group. That's also the ad sales group. So there are many efficiencies in the infrastructure and efficiencies in the expertise.
Benjamin E. Mogil - Stifel, Nicolaus & Co., Inc., Research Division: Okay. That's great. And then flipping over to sort of looking into Sports for next year, so fiscal '14, if you strip out the playoffs and just sort of strip out the revenue and EBITDA that you guys mentioned, and if you assume that the NHL had a full schedule in '13, which I know they didn't, but you can kind of triangulate around that, given the NBA luxury tax, do you think Sports EBITDA on those parameters would be up or down?
Robert M. Pollichino: We're not in a position right now to give that specificity of an answer, but when you think about next year, I think you've got most of the right points, which is we are going to benefit from the full regular-season schedule of the Rangers and get the impact from the additional benefits coming out of the Transformation. But you had to keep in mind, again, that there's going to be a -- which we anticipate a substantial increase in luxury tax expense that's really driven by 2 things: One is the higher projected team compensation cost, but you should also have in mind that the -- there's an implementation of the NBA's new progressive luxury tax system, so there's more detail in the K when you get a chance to look at it. But what's happening to that system is the luxury tax system is moving from a system in where there's dollar for dollar. So $1 in taxes for every dollar a team is over the luxury tax threshold. And now it's going to a system where luxury tax expenses escalate; the higher above the luxury tax threshold that you go. So there's some detail on the K; you can get a sense of that. And then the last thing is sort of based on some good news, too, is that we anticipate a substantial increase in our net provisions for the NBA and the NHL revenue-sharing expense, and that's really driven by a couple of factors: one is our expectation for future revenue growth, which drives that -- what we talked about, is the return of hockey to the full regular-season schedule; and also our expectations around player salary escrow [indiscernible]. So I think you got pieces there to think through a little bit.
Operator: Your next question comes from Michael Senno of Crédit Suisse.
Michael Senno - Crédit Suisse AG, Research Division: Just wanted to look at Sports for a second. You guys have seen a nice pickup in some of the Transformation-related revenue. With the third phase coming on and Chase Square and the bridges, where -- what stage are we in selling sponsorship inventory within what's the potential of the entire new Garden is?
Ryan O'Hara: Well, as we mentioned on the third phase, we're excited about what's going to happen over the next several months, where in the new lobby we'll see Chase Square, which we think is phenomenal; new Chase Bridges and then Anheuser-Busch's 1876 Balcony, which will help us drive revenue growth in 2014. But the way we look at it, is we have great suite of world-class brands that we partner with and with them, there's ways to grow our business. You're seeing it with the Forum with Chase, where they made a significant commitment, and we're continuing to talk to our current partners about growing with them across our asset base. But in addition to that, we're also talking to other partners in other verticals where we think there's an ability to drive incremental revenue across the base of arenas, teams and also the assets.
Operator: Your next question comes from Vasily Karasyov of Stern Agee.
Vasily Karasyov - Sterne Agee & Leach Inc., Research Division: I have a couple. One, just to follow up on the potential of capital returns. Has it -- can ask I ask you if your view of that possibility or magnitude of that return changed since it started -- it became a point of discussion a couple of quarters ago? And then if yes or no, do you expect to firm up your opinion communicated to the street maybe within next fiscal year? And what are the milestones that you're waiting to happen?
Hank J. Ratner: Well, as we've been saying for a while, our priority is growing the company. Again, what we said, that isn't necessarily mutually exclusive with a capital return, and that we had not made a decision as to whether there would or wouldn't be any capital return, but emphasize and continue to that priority is growing during the company. So that hasn't changed. That's where we are, and that's where we remain.
Operator: Your next question comes from David Miller of B. Riley & Co.
David W. Miller - B. Riley Caris, Research Division: Could you guys just address this permit issue, which was sort of a bomb that got dropped on the stock back on July 26. It seems like you guys have a lot of options at your disposal in addressing the issue. And then within that, correct me if I'm wrong and maybe we're just naïve over here on the West Coast, but isn't The New York City Council an elected body which turns over every 4 years, which would potentially turnover this November? And couldn't you wait for a newly elected New York City Council to be a little bit more sympathetic to your position to be realized, and then kind of reapply for a permit extension at that time? Would love any thoughts you have on the matter.
Hank J. Ratner: As the West Coast seems to be similar to the East Coast, I don't think there's any geographic disadvantage in your question. Remember that the permit process is a zoning process, and we went through that zoning process. It's critically important for everybody to understand that we own the land, and we own Madison Square Garden. So we are the owner that went through a zoning process. There's another one that now is scheduled to happen 10 years from now. We've been at this site for 45 years. It is the most iconic of all arenas throughout the world. It's created great memories for people, and we expect it will continue to do so. And we're fine where we are right now, and we look forward to a long future here.
Operator: Your next question comes from David Joyce of International Strategy & Investment Group.
David Carl Joyce - ISI Group Inc., Research Division: A couple of questions. First, if you could provide a little bit more color about the 2 new bridges. Is that a premium-priced product? Could you break out the number of those 800 seats between that and the other balcony? What's the pricing like? What's the access to those bridges? And then secondly, if you could help us think about the Forum for the rest of the year. Would the rest of the renovation and investment be all in the CapEx? Or would there be OpEx and how would that phase until the opening?
Dave Howard: I will address first your question about Chase Bridges. They are a spectacular new addition to the fully transformed Garden. They are unique in any arena in the world in terms of what they present in terms of a seating opportunity, both in terms of the sideline, which run parallel to the court and the rink, as well as with regard to their location on the bridge level, which is this amazing new concourse. The bridges will connect the 1876 Balcony to the West Balcony, creating this full internal circulatory concourse that allows people to remain connected to the action in the arena. It is going to be a spectacular aspect of the unveiling of the fully transformed Garden. It -- they do represent a substantial portion of the approximately 800 seats that will be coming back online into our inventory this fall, and return us to the pre-Transformation levels. And we are on sale, both with regard to the 1876 Balcony, as well as the bridges, both with regard to partial season plans as well as group tickets for both the Knicks and the Rangers at this point. They are being received extraordinarily well, and we are very confident this product will sell extremely well this season.
Hank J. Ratner: Then I think, there was a question relating to the Forum?
Robert M. Pollichino: Yes, I think one part of that question was operating expenses. So we've seen in our financials or we talked about in our financials that operating expenses for the Forum have hit and they've been unfavorable. So as we continue to staff up to run and operate the building, getting ready for launch, the operating expenses will continue to grow, both in pure operations of the building, as well as the staffing to booking and doing all that we need to accomplish. You heard Melissa talk about the $100 million, and the vast majority of that will be spent prospectively as we head towards an opening in the middle of January. So that's sort of the plan for the Forum.
Ari Danes: Thanks for your question, David.
Operator: Your final question comes from Martin Pyykkonen of Wedge Partners.
Martin Pyykkonen - Wedge Partners Corporation: Hank, if I just rephrase on the permit, it sounds like this is what you're saying. I just want to clarify that the New York City Council, whoever they are in change can vote all they want but they basically can't enforce anything because you do own it. And then I'm just curious in terms of that ownership of the land, you actually owned the below-grade property essentially and does Penn Station effectively pay you a lease? I know that's really oversimplifying it probably, but is that kind of the picture? And then secondly, probably more for Melissa or Bob, on the Entertainment segment, everything you're saying, Cirque du Soleil, tough comps right now, The Garden reopens for the calendar Q4, the L.A. Forum kicks in next year, it sounds like, and I know you won't put any number to this, that the Entertainment could be sustainably positive AOCF going forward by the end of this year and into next year? Is that a reasonable assumption? And then one last math question, more for Bob. If I go back to last year's playoffs and this year, I just want to see if I get this math right, that the incremental direct contribution per game, per playoff game, last year was about $1.3 million, this year about $1.5 million, a little more tilted to the Knicks, more seats and higher prices due to the second phase being done. Is that math and those drivers the right way to think about it?
Hank J. Ratner: Four-part questions should be a little difficult to remember. So we'll counter you and we're going 16 parts in our answer. They're not going to be sequential so we're going to just kind of bounce around. Your first thing relating to the city council, the city council is a very important body in the city of New York. We're very respectful of the city council. We're very respectful of their opinions, and we're very respectful of the job they do in protecting New York City. We expect, as we did this time, to work amicably and to work to resolution on anything that comes in front of us. We do own Madison Square Garden and what we do own is that there is a pad that sits on top of Penn Station on ground level. We own the ground-level pad and we own all the air rights above it. Part of those air rights are where Madison Square Garden sits, and they continue beyond Madison Square Garden itself. We don't own below the pad. That's separate and that's owned by, I guess, the government or the Port Authority, whatever is the entity involved with Penn Station itself. That was question 1 and 2 I think.
Melissa Miller Ormond: So entertainment segment. You touched on a lot of the major points, so we can report in New York [indiscernible]. I think we feel good about the bookings, 3-year bookings that we have for fiscal 2014 at this point. And we are thrilled about the Transformation conclusion, as well as the opening of the Forum. But it's important to remember that the Forum opens in the middle of January, so we have the benefit of that in this fiscal year for 5.5 months, and The Garden has been closed for these first months of the fiscal year. And we really only gain the benefit of the latter half of May and June in this current fiscal year in terms of the Transformation. So we are looking for normalized results in Christmas, and we feel good about our new show, but there's a lot of moving parts in this fiscal year. '15 is where we're going to see some -- the full year impact of all of our initiatives.
Robert M. Pollichino: And part 15a through 16b I think was about the playoffs. So you did the math right. If you looked at it last year, it was -- based on a home game division, it was about $1.3 million. I think the number is now about $1.49 million. And remember what we're talking about is the direct contribution. And we said before, in excess of $1 million because of definitely some expenses running around when we do playoffs, that we can't possibly, specifically quantify. So -- but that's really the direct contribution that you're seeing, you got it right.
Operator: I would now like to turn the call back over to Ari Danes for any closing remarks.
Ari Danes: Thank you for joining us. We look forward to speaking with you on our next earnings call in November. Have a great day.
Operator: Thank you. This does conclude today's conference. You may now disconnect.